Operator: Good morning, ladies and gentlemen. Welcome to the CIBC F4Q Results Conference Call. Please be advised that this call is being recorded. (Operator instructions.) I would now like to turn the meeting over to Geoff Weiss. Please go ahead Mr. Weiss.
Geoff Weiss: Thank you. Good morning and thank you for joining us. This morning, CIBC’s senior executives will review CIBC’s F4Q and F2012 results that were released earlier this morning. The documents referenced on this call including CIBC’s F4Q news release, investor presentation, and financial supplement as well as CIBCS F2012 financial statements and MBNA can all be found on our website at www.cibc.com. In addition, an archive of this audio webcast will be available on our website later today along with CIBC’s full F2012 report which was released earlier this morning with our results. This morning’s agenda will include opening remarks from Gerry McCaughey, CIBC’s President and Chief Executive Officer. Kevin Glass, our Chief Financial Officer, will follow with a financial review; and Tom Woods, our Chief Risk Officer will close the formal remarks with a risk management update. After the presentations there will be a question-and-answer period that will conclude by 9:00 AM. Also with us for the question-and-answer period are CIBC’s business leaders including Victor Dodig, Richard Nesbitt, and David Williamson as well as other senior officers. Before we begin, let me remind you that any individuals speaking on behalf of CIBC on today’s call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC’s actual results in future periods to differ materially. For more information please refer to the note about forward-looking statements in today’s press release. With that, let me now turn the meeting over to Gerry.
Gerry McCaughey: Thank you, Geoff, and good morning everyone. I will also remind you that my comments may contain forward-looking statements. Today, CIBC reported net income for F4Q of $852 million and diluted earnings per share of $2.02. The return on equity for the quarter was 21.7%. Adjusting for items of note, earnings were $2.04, up 15% from a year ago. For F2012 overall, CIBC reported net income of $3.3 billion and diluted earnings per share of $7.85. Return on equity for the year was 22%. During F2012 we strengthened our capital base while investing for strategic growth and returning capital to shareholders. We finished the quarter with a Basel III pro forma common equity ratio estimated at 9% and a Basel II tier one ratio of 13.8%. We increased our quarterly common dividend to $0.94 per share effective October, 2012; announced a normal course issuer bid to repurchase up to 8.1 million common shares or approximately 2% of shares outstanding. As of October 31, 2012, we have repurchased in excess of 2 million shares. Our progress in F2012 reflects our strategy which is to be a lower risk bank, to deliver consistent and sustainable earnings; as well as our strategic plan, which has four work streams. The first two elements are conditions precedent to our strategic plan. The third, our strategic plan, is how we deliver value. Our strategic plan has four work streams: strengthening our core Canadian retail franchise, growing our wealth management business, growing our wholesale banking business and strengthening our Caribbean operations. What unites each of these work streams is a focus on deepening the relationship we have with each of our clients. Our strategy balances our lower-risk approach with consistent and sustainable strategic growth. We believe this is the right strategy for this environment and we believe it is a strategy that will be proven to do well in the years to come. Now, turning to our business results – retail and business banking. Retail and business banking reported net income of $569 million for F4Q 2012. Personal banking revenue of $1.6 billion was the highest reported revenue for a quarter on record. Credit quality in our retail portfolios continues to be strong. In F4Q provisions for credit losses decreased from a year ago largely due to lower losses in our credit card portfolio. Loss rates in our credit card portfolio are at the lowest level since F4Q 2008. Strengthening our core Canadian retail franchise is centered on deepening client relationships with an emphasis on improving sales and service capabilities, cross-selling and acquiring and retaining clients. Retail and business banking made good progress in F2012. We continued our leadership in mobile banking, announcing in partnership with [Rogers Communication] the first point of sale mobile credit card transaction in Canada. We continued to invest in our branch network with 28 new branches across the country this year and expanded hours of service. We launched our CIBC Total Banking Rebate to recognize and reward clients with fee discounts for a deeper relationship with CIBC. We were named “Best Commercial Bank in Canada” by World Finance Magazine for our strong client focus. Looking forward, it appears the current headwinds that are negatively impacting industry profitability, such as lower interest rates and a slowdown in consumer credit growth will continue to be with us in F2013. Dave Williamson is here this morning to answer questions about retail and business banking. Wealth management earnings for the quarter were $84 million, up 20% from the same quarter last year. In F2012 we made good progress in support of our strategic priority of building our wealth management platform. We acquired MFS McLean Budden’s Canadian private wealth business adding $1.4 billion to our domestic assets under management. Our investment in American Century Investments is generating solid results and we delivered our third consecutive year of record mutual fund long-term net sales. Over the course of F2013 to the extent we see a gradual resolution of global uncertainties, we should see further improvements in demand for equities and wealth management. Victor Dodig is here this morning to answer questions about wealth management. Wholesale banking reported net income of $193 million in F4Q, our highest results in the past four years. Excluding items of note, net income was $192 million, up 10% from the previous quarter. During 2012, wholesale banking reinforced our Energy Advisory business with the acquisition of Griffis & Small, a Houston-based oil and gas advisory firm. We ranked #1 overall in loan syndication by number of deals and #2 by volume, and we received “Best Bank of the Year – Project and Finance Infrastructure, Canada” by Deal Makers Monthly. While the outlook for wholesale banking in F2013 will depend on market and economic conditions, we believe that our client-focused low-risk strategy along with the investments we have been making position us well to continue delivering risk-controlled earnings as we grow with our clients. In the Caribbean we had stronger results in F4Q, reflecting improved performance. As conditions improve, we expect our Caribbean operations to return to historical levels of profitability. Richard Nesbitt is here this morning to answer questions about wholesale banking as well as our Caribbean operations. In summary, F2012 was a good year for CIBC and our shareholders in what continues to be a challenging environment for banks globally. Our lower-risk strategy delivered consistent, sustainable earnings, and our capital strength positions us well in the unsettling environment we and other banks are operating in. Before I close I would like to take this opportunity to thank our shareholders for their continued support and all of CIBC’s 42,000 employees for their ongoing dedication to serving our more than 11 million clients. Let me now turn this meeting over to our Chief Financial Officer Kevin Glass. Kevin?
Kevin Glass: Thanks, Gerry. My presentation will refer to the slides that are posted on our website, starting with Slide 5 which is a summary of results for the quarter. My comments will focus on F4Q and will [give] you an overview of our F2012 performance. Overall we produced solid results for this quarter. Net income after tax was $852 million on a reported basis and $858 million on an adjusted basis. This resulted in reported earnings per share of $2.02 and adjusted earnings per share of $2.04. Our retail and business banking franchise experienced solid revenue growth and is successfully executing on its strategies, focused on accelerating profitable revenue growth and deepening client relationships. Wholesale banking delivered strong results in challenging market conditions. Wealth management had record net sales of long-term mutual funds and we had another quarter of positive operating leverage even as we continued to make incremental investments in our business. Our capital ratios continued to lead the industry. We finished F4Q with a tier one capital ratio of 13.8% and a Basel III common equity ratio estimated at 9.0%. During the quarter we had five items of note: a loan loss provision in our exited US-leveraged finance portfolio of $0.08 per share; a gain from a structured credit runoff business of $0.09 per share; a loss of $0.06 per share related to a change in the methodology used to value collateralized derivatives; a gain on sale of interest in [STs] in relation to the acquisition of TMX Group by Maple Group Acquisition Corporation, a net of $0.05 per share; and amortization of intangible assets which is a loss of $0.02 per share. In aggregate these items decreased our earnings per share by $0.02. The balance of my presentation will be focused on adjusted results which exclude these items of note. We have included slides with reported results in the appendix to this presentation. Moving to the details for each of our strategic business units, I’ll start with adjusted results for retail and business banking on Slide 6. Revenue in the quarter was $2.04 billion, down $40 million or 2% from the same quarter last year with gains in our core business lines being more than offset by lower Treasury revenue in the other segment. Excluding Treasury revenue, retail and business banking revenue was up 3.3%. Before turning to our individual lines of business results, I’d like to highlight the change in our reporting of the runoff of First Line mortgage brokered portfolio. In order to better reflect the results of our core operations, the results for the exited First Line channel have been reclassified from personal banking to other this quarter. Prior quarters have also been restated on this basis. Now, moving to our lines of business, personal banking revenue of $1.62 billion was up $48 million or 3% compared to the same quarter last year. This revenue was the highest on record for personal banking. The performance benefited from volume increases across most products and also from higher fee income. Consistent with our strategy, our emphasis continues to be on CIBC branded products. Our CIBC mortgage portfolio had year-over-year growth exceeding 10% which is well above the peer average. With respect to the exit from First Line, we continue to make good progress on [returns], with both volumes and spreads exceeding the targets we established earlier this year. Business banking revenue was $378 million, up $20 million or 6% compared with the same quarter last year due to a combination of higher volumes and higher fees. Business banking continues to experience good growth with average deposit and lending balances both up 8% year-over-year. The other segment had revenue of $42 million in the quarter, which is down $108 million compared with the same quarter last year and down $66 million from the prior quarter. The decrease from both of the prior periods is largely due to lower Treasury revenue which was higher than normal in F4Q last year and lower than normal this quarter. Going forward, we expect Treasury revenue to be somewhat higher than the current quarter. The provision for credit losses of $255 million was down $11 million from the same quarter last year due to lower write offs and bankruptcies in the cards portfolio partially offset by higher losses in the commercial banking portfolios. Our Canadian consumer lending portfolios including cards continued to perform well. Tom Woods will discuss credit quality in his remarks. We remain focused on our expenses while continuing to invest in strategic business initiatives. During the quarter, noninterest expenses were $1.03 billion, up 0.8% from the prior year. This resulted in positive operating leverage of 2.5% excluding Treasury. Our adjusted net income was $571 million, down $29 million or 5% compared to the prior year. Adjusting for the lower Treasury revenue, our earnings growth was approximately 9%. Our core net interest margin, or NIM, was 258 basis points for the quarter. This is up 1 basis point from the prior quarter and 5 basis points from the prior year. The net interest margin has been helped by an improvement in our business mix driven by growth in higher-margin, CIBC branded products. We expect this level of NIM to remain relatively stable with improvements in business mix helping to offset the ongoing negative impact of low interest rates that has been felt throughout the industry. Turning now to Slide 7 and the results for wealth management, revenue in the quarter was $420 million, up $24 million or 6% from the same quarter last year. Looking at the results of specific business lines on this slide, retail brokerage revenue of $256 million was flat compared to the prior year, and higher new issues revenue was offset by lower trading volumes. Asset management revenue of $138 million was up $22 million or 20% from the same quarter last year. This was due to a combination of an increase in average client assets under management driven by strong net sales of long-term mutual funds and income from our proportional share in ACI which has been included since its acquisition in September, 2011. Noninterest expenses of $308 million were up $9 million or 3% from the prior year, mainly as a result of higher performance-based compensation. Net income in wealth management was $84 million, up 20% from the same quarter last year. Turning to adjusted results for wholesale banking, we continue to deliver strong performance in challenging market conditions. Revenue this quarter was $522 million, down $29 million or 5% compared with the prior quarter. Capital markets revenue at $302 million was down $5 million from F3Q due to lower revenue in fixed income and foreign exchange trading, partially offset by higher revenue from equity new issuance activity and equity derivatives trading. Corporate and investment banking revenue of $194 million was down $29 million from F3Q driven by lower merchant banking revenue partially offset by higher equity and new issuance activity. Adjusted provisions for credit losses of $13 million was down $21 million from the prior quarter mainly due to lower losses in the US real estate finance and Canadian credit portfolios. Noninterest expenses were $249 million, down $33 million compared to the prior quarter. On an adjusted basis, net income for wholesale banking was $192 million for the quarter, up $17 million from the prior quarter on the same basis. Given the challenging market conditions in the quarter, this reflects solid performance for wholesale banking. F4Q was a strong finish to F2012. Our lower-risk strategy delivered consistent, sustainable earnings in F2012 in all of our businesses. Retail and business banking delivered a strong performance including strong core product volume growth and improving margins. The shift to a client-centric strategy and investment in strategic initiatives are starting to deliver. In wealth management, solid investment performance, above market asset growth, and growing fee bases and international revenue streams have driven strong results. And wholesale banking delivered solid results in a challenging environment, evidence that our client-focused model continues to perform well. Thanks for your attention, and I would now like to turn the meeting over to Tom Woods.
Tom Woods: Thanks, Kevin. On Slide 20, loan losses in F4Q were $328 million or $275 million on an adjusted basis, versus $317 million in F3Q. Reported loan losses included a $53 million provision in our runoff US leveraged finance portfolio. This was due to our provision in a single account. The balance on this loan is now $71 million and the balance in the US leveraged finance portfolio including this loan is now $91 million. Loans to these companies were made before 2008 and we have exited this business. We had good credit performance in our retail and wholesale portfolios. In US real estate finance, loan losses were down $14 million versus F3Q. In [cards losses were down $11 million. In commercial banking, losses were down $7 million and in CIBC First Caribbean, losses were down $6 million. Slide 21: our cards portfolio continues to perform well. The net credit loss rate in F4Q was 4.1% versus 4.4% last quarter. Our cards delinquency rate remained stable quarter-over-quarter. With respect to our Canadian residential mortgage portfolio on Slide 22, 76% of our Canadian portfolio is insured with over 90% of the insurance being provided by CMHC. The average loan-to-value of our uninsured mortgage portfolio based on September house price estimates is 50%. Slide 23 shows our Canadian residential mortgage portfolio by region. The size of this portfolio is $144 billion with approximately 46% in Ontario, followed by BC at 20% and Alberta at 16%. The credit quality of this portfolio continues to be high with a net credit loss rate of approximately 1 basis point per annum. Slide 24 shows our Canadian residential condo mortgage exposure. Condos account for approximately 12% of our total mortgage portfolio with about 70% in Ontario and BC. Similar to our total mortgage portfolio, 77% of our condo sub portfolio is insured, and the uninsured portfolio has an average loan-to-value of 51%. This slide also shows our condo developer exposure. At October 31, our drawn loans to construction projects were $701 million or approximately 1% of our business and government portfolio. The exposure is diversified across 70 projects. Slide 25 shows our exposure to the European peripheral countries and countries in North Africa and the Middle East. As you can see, we have no peripheral sovereign exposure and very little peripheral non-sovereign direct exposure – about $28 million net exposure after deducting the collateral that we hold. We have $297 million indirect exposure to corporates in the peripheral countries in our structured credit runoff book where our interests benefit from significant subordination to our position, but here too, none of this exposure is to peripheral sovereigns. Slide 26 – our US real estate finance business had $4.2 billion of drawn exposures and $445 billion of undrawn. About 79% of this has been originated since 2009 which benefits from higher credit quality standards due to better loan-to-value metrics and tighter adjudication criteria. In F4Q we had loan losses of $10 million, down from $24 million last quarter – all on loans that were originated pre-2009. We had $106 million of net impaired losses. Slide 27 – our European financed leverage runoff book had $404 million in drawn exposures and $60 million in undrawn. In F4Q we had no provisions in this portfolio. Our US leveraged finance runoff book had $91 million in drawn exposures and $19 million in undrawn. In F4Q we had provisions of $55 million in this portfolio including the provision on the account I mentioned earlier of $53 million. Turning to market risks, Slide 28 shows a distribution of revenue in our trading portfolios. In F4Q we had positive results on all but three days, 95% of the time compared with 98% of the time in F3Q. Our average trading buy was $5.5 million compared with $5.6 million in F3Q. The low buy levels reflect our continued low-risk positioning. Slide 29 – our tier one ratio was 13.8% at the end of F4Q, down from 14.1% at the end of F3Q. The phase-in effects of IFRS redemption and preferred shares, and repurchase of common shares, were partially offset by earnings net of dividends. CIBC is well positioned for the Basel III transition and our pro forma Basel III common equity ratio at the end of F4Q was 9.0%, exceeding the Basel III minimum requirement of 7.0%. I’ll now turn things back to Geoff Weiss.
Geoff Weiss: That concludes our prepared remarks. We’ll now move to questions. To give everyone an opportunity to participate, please keep it to one question and then re-queue. Operator, can we please have the first question? 
Operator: Certainly. (Operator instructions.) The first question is from Steve Theriault of Bank of America Merrill Lynch. Please go ahead.
Steve Theriault – Bank of America Merrill Lynch: Thanks very much. I have a question for David Williamson. David, can you give us a bit of an update on your retention efforts with respect to First Line? How are you doing relative to targets? What kind of spreads are you getting on renewals – are you getting closer to broker-type or closer to branch-type pricing? And if you could also speak to your outlook for the margin next year that would be helpful. Thanks.
David Williamson: Certainly, Steve. So we’re really pleased with how the conversion of First Line is going into the CIBC branded products. The clients are showing a strong propensity to convert into the CIBC brand, so as far as conversions go we’re significantly at this point exceeding – it’s early days but we’re significantly exceeding the conversion target that we shared when we outlined our decision to exit First Line as a channel. So that’s the conversion level is going very well. And on spreads, we haven’t given the actual target on spreads but we do have an internal target and we’re exceeding that by a fair margin as well; and quite frankly we are doing quite well compared to the branch spreads. So First Line couldn’t be going much better frankly, as far as the conversion is going. As far as looking forward into next year on spreads, the way things are going so far there’s no reason to believe it wouldn’t really now just link to how the overall market is doing and the degree of competitiveness in the market because it’s showing there is that propensity to convert. It’s going better than we would have hoped and spreads, as I say, are going well. So I think we’re now just going to tie into where the market goes. The other thing that I’d highlight as one of the key elements of what we’re trying to do here is when the clients come into CIBC is to then build that deeper, more sustained relationship. So we have put in place a leads program and some incentives to make sure that when those clients do get a CIBC mortgage we’re welcoming them warmly and building that multi-product relationship. So I’m happy to report it is going well.
Steve Theriault – Bank of America Merrill Lynch: Thanks, David.
Operator: Thank you. The next question is from Gabriel Dechaine of Credit Suisse. Please go ahead.
Gabriel Dechaine – Credit Suisse: Hi, good morning. Just looking at retail and business banking, your expenses are up less than 1% year-over-year yet you talk about expenses being up due to investment in strategic business initiatives. So I guess the sense that you’re investing but you’re also generating some cost saves along the way – is that a trend you expect to continue in F2013, like that level of expense growth? And then I’ve got a follow-up.
David Williamson: Let me take that first question. You’re absolutely right. Our expense growth in F4Q relative to the year before is 0.7% and for the full year it came out at 0.6% year-over-year, F2012 compared to F2011. So you’re absolutely right – that is low relative to expectations, and we have been over the last few quarters been able to identify offsetting efficiencies. As we’re working through process improvement opportunities items have surfaced that have allowed us to offset the elevated spending. So two comments going forward: one is that we announced earlier this year that we had elevated our level of spending to invest in retail and business banking. We’re going to maintain that elevated level into F2013. To your point, we can’t be sure if we’ll find the offsetting process efficiencies so I would expect the expense level to come up from the level it’s at now. That 0.6% or 0.7% is called unnaturally low given that we are investing more in the business unit. Having said that, we’ll maintain expense discipline and stay with the message that I provided last quarter which is that we’ll keep operating leverage positive on an annual basis. This quarter, operating leverage when you adjust for Treasury, which Kevin commented on in his remarks, operating leverage this quarter was positive 2.6% so particularly strong. So to your point I think we just need to moderate expectations. Expenses will come up and operating leverage might not be at such a robust level in future quarters.
Gabriel Dechaine – Credit Suisse: Thanks. My other question is for Gerry. On the buyback, I guess over time the capital ratios keep going up, people might expect that to be enhanced or increased. Do you think leverage is a constraint against upping your buyback or the share repurchases you have earmarked in F2013? I just want to get a sense for the upside potential if any to your existing NCIB?
Gerry McCaughey: Yeah, our leverage ratio is in line with the industry at this time. We are keeping an eye on the eventual destination of leverage ratios under Basel III but I don’t see it as a constraining influence to our actions today. And in the future, when we look at offsetting activity in terms of changes that are taking place when Basel III comes in from the leverage ratio viewpoint we also believe that we have a fair bit of room to move.
Gabriel Dechaine – Credit Suisse: Thank you.
Operator: Thank you. The next question is from Peter Routledge of National Bank Financial. Please go ahead.
Peter Routledge – National Bank Financial: Hi, a couple questions for David just on the flows of loans in your business. It looks like the runoff from First Line was $3.3 billion and then you filled in a pretty strong quarter in terms of origination at the branch, $2.7 billion. And what put you into positive loan growth was quite strong business credit, I guess net new loans looked like they were around $1 billion. So I’m just trying to play it forward next year. If household borrowing, household demand for credit really does fall off, a couple questions: is that $3.3 billion runoff from First Line a pretty good run rate for the next two years? And if household credit demand falls off are you confident you can fill in the gap with business?
David Williamson: Hi, Peter. Yeah, so the dynamics you’ve got there are right. When we exited First Line we said the overall mortgage balance was going to be down in percentage terms low single digits. As our CIBC branded grew it offset First Line, and that’s what’s playing out now although actually it was down 0.1% net-net. And that’s because I guess the stronger conversion experience that we’ve had. So to your point about looking forward, yeah, First Line – that is indicative of kind of the burnout rate. There is going to be some degree of variation but over a multi-year period First Line will burn off at a rate, and recent experience is probably indicative of that near-term rate. So then it just comes down to what’s the industry going to grow in mortgages, and my job is to grow at industry or better type of rates. I can’t really control for macro factors. And what we did this quarter is did just that, so on mortgages on a year-over-year basis we grew over 10% in our own brand. Now there’s a wind assist there as far as the First Line mortgages converting over but if you pull that out we are still substantially ahead of the industry growth rate in mortgages which for the first three quarters is over 6%. We were well clear of that even excluding the First Line. So I can’t speak to what the economy is going to do going forward but we do seem to be set up well to grow at at least industry rates, whatever they may be. And we’re not doing it by giving it away either, right? Our NIMs are up quarter-over-quarter and they’re up year-over-year. We haven’t had that NIM growth for some extended period of time. So right now, I can’t speak to the economy going forward but we seem to be well positioned both on spreads and volumes to do relatively well as the First Line book burns off. The other thing I’d point out is we’ve now introduced a home power plan so we’ve now got the product that everyone else had before, which is the mortgage and the home equity line of credit. So now that that’s been rolled out nationally that’ll help our HELOC growth as well.
Peter Routledge – National Bank Financial: How sustainable is the performance in business credit? Can you get $1 billion in net new a quarter? Or is that an outperform kind of quarter?
David Williamson: No, I think this quarter was actually slightly lesser rates than what we’ve grown over the last couple years. We’ve had two, three years of comparatively quite strong growth in business lending. This quarter the same again, and maybe I should just do a bit of decomposition here. We have made the proactive decision to take the foot off the gas so to speak in commercial mortgages. So when you look at our market share in business lending and our volume growth, that’s with us pulling back in commercial lending. If you strip that away, our business lending growth on an average basis in F4Q compared to a year ago is over 11%. So the team is good, the focus is good. I’d like to believe that we’ll be able to continue that kind of relative peer growth rate.
Peter Routledge – National Bank Financial: Thanks for your time, I appreciate it.
Operator: Thank you. The next question is from John Aiken of Barclays Capital. Please go ahead.
John Aiken – Barclays Capital: Good morning. No offense, David, but I actually don’t have a question for you. Richard, can you talk about within your segment the growth in trading securities and essentially what’s underlying that, and whether or not that’s the main principal attraction for the common equity growth that your segment has had year-over-year?
Richard Nesbitt: First I’ll let Kevin take that question and then I can follow up.
Kevin Glass: John, let me just chat with you briefly about trading. If you go to Page 3 I think we’ve got pretty high trading interest income which is up a lot, and then the noninterest income is down. So you need to look at that on a consolidated basis. If you look at it on a net basis we had particularly strong trading revenue this quarter so that’s what drove a slightly lower tax rate but also higher trading revenue particularly in the [derivatives] book.
John Aiken – Barclays Capital: But more specifically the trading security balances are up almost 30% year-over-year.
Richard Nesbitt: So I’m just going over this with our CFO here for wholesale, John, and really the answer is markets are up and we had higher levels of activity. We had quite low levels of activity in the first half of F2012 and much higher levels of activity in the second half of F2012, plus the markets are up.
John Aiken – Barclays Capital: So Richard, this is largely client balances-related and not taking on positions yourself?
Richard Nesbitt: Absolutely. While we’re engaged as everybody else is in facilitation trading, those have not gone up materially and those are just transitory balances that we would maintain.
John Aiken – Barclays Capital: And I apologize, I have not leafed through the MD&A but Tom, has this had any impact on average borrow levels?
Tom Woods: No, the borrow is still under $6 million so it’s been sort of $6 million to $7 million for the last couple years.
John Aiken – Barclays Capital: Great, thank you very much.
Operator: Thank you. The next question is from Brad Smith with Stonecap Securities. Please go ahead.
Brad Smith – Stonecap Securities: Yes, thanks very much. I just wanted to get back a little bit to First Line mortgages and to the total mortgages. If I’m reading this correctly, the aggregate mortgages of $145.2 billion at the end of the quarter was basically unchanged from a year ago and the First Line has come down quite significantly, about $7 billion. The earlier comment about how that conversion is working well, I guess I’d like a bit more clarity on that because if the total is not growing at all then where are you going to end up at the end of the day on a market share basis? Or maybe another way to say it is when do you think your aggregate mortgage balance is going to actually start to rise?
David Williamson: So Brad, I guess the key thing we’re looking for in some respects is a quality versus quantity type of thing. So the First Line conversion, when you think about it, we’re talking about 25% staying with us and at a markedly higher margin. What we’re actually saying is there’s quite a bit more than 25% staying with us and the margins are quite a bit higher than what we expected. So if you start retaining a substantive amount at a higher spread and you have a reduction in your expense base because his two-platform and two-product base goes away, what you end up seeing is the impact on [NIAT] all in from taking those $50 billion off and replacing it with CIBC branded mortgages is pretty moderate – and that’s even putting aside the fact that we’re no longer wholesale funding $50 billion of balance sheet. So this conversion completely synchs with the strategy of saying “Let’s not have single-product relationships and get deeper relationships,” in so doing less attrition, higher margins and both sides of the balance sheet type of things. So when I talk about First Line going well it’s a higher percentage of them staying with CIBC, great spreads being quite a bit wider and getting up to branch levels, and then losing the expenses associated with First Line; and then just the side benefit associated with being a lower-risk bank of just having less balance sheet to fund. Just net-net this adds up to a whole lot of good things. 
Brad Smith – Stonecap Securities: Can we just sort of square that in with your earlier comment about you NIM outlook? The way I interpreted what you said, David, is that you didn’t see any real lift coming from the conversions and that you were more likely to see your NIM move with the market. So is that consistent with what you just said about higher conversions and higher margins on the conversions?
David Williamson: No, let me clarify a bit. What we’ve got is two offsetting forces – luckily it’s offsetting the right way; one negative force being the lower interest rate environment just compressing our net interest margins which you’re seeing in the whole industry in the reported results today. But we’ve got the offset that by making this move, taking what was $50 billion of assets and swinging a big proportion of them into higher margin products, that’s giving us the lift to our net interest margins. So that’s the fuel that’s allowing us to show a comparatively stronger spread. So our mission to accelerate revenue, this fits right in with it where we’ve got a lower quantity of mortgages to fund – so to your point, that mortgage line is not going to be moving very much over the next three years. But what’s going on is we’re replacing single product, low-spread, wholesale-funded mortgages with deeper relationship CIBC branded, higher spread products and that’s what’s helping our NIM elevate relative to peers.
Brad Smith – Stonecap Securities: So you would expect your net interest margin performance next year on a relative basis to outperform your peers because your conversions are ongoing.
David Williamson: That’s right.
Brad Smith – Stonecap Securities: Okay, and I must have misinterpreted what you said earlier.
David Williamson: We’ve got pressure like everyone else as far as the low interest rate environment but we do have this tailwind that’s being provided by the conversion of the First Line.
Brad Smith – Stonecap Securities: Great, thanks very much, David.
Operator: Thank you. The next question is from Michael Goldberg of Desjardins Securities. Please go ahead.
Michael Goldberg – Desjardins Securities: Thanks. On the Treasury impact on retail and business, I want to clarify: is there an impact on consolidated net interest revenue and net interest margin? And if you think of a consolidated Treasury impact as being the impact of being unmatched on a consolidated basis, what’s the impact of that unmatch on net interest revenue and how does it compare with where it’s been in the past?
Kevin Glass: Michael, it’s Kevin. I think in terms of the impact on overall interest margins, the answer is it doesn’t really impact overall interest margins because the [big] delta on a year-over-year basis was [AFS] gains. So in F4Q of last year we had very high or higher than usual [AFS] gains whereas this quarter we’ve had very low [AFS] gains, and that doesn’t flow through in our eyes. So on a consolidated basis it’s not going to have an impact.
Michael Goldberg – Desjardins Securities: But just in terms of the impact of that unmatch, would it alone have been a positive or a negative?
Kevin Glass: Michael, I think it would probably be best if we take that offline and work through the reconciliation together.
Michael Goldberg – Desjardins Securities: Sure, okay.
Operator: Thank you. The next question is from Brian Klock of Keefe, Bruyette & Woods. Please go ahead.
Brian Klock – KBW : Good morning, thanks for taking my question, guys. I was wondering if I could follow up on the earlier question on the trading revenues. Just obviously there was a pretty significant spike on the [NII] side from the trading book. When I look at the total securities portfolio which includes [AFS] and your trading book, the yield in the quarter went from 2.47% in F3Q to 3.38%. So I’m just wondering what kind of securities actually did you put in the trading portfolio that helped drive that yield up so much higher.
Kevin Glass: It’s Kevin Glass. So when you look at trading, I mean you’ve got to look at both interest income as well as noninterest income. And so if you put them together it wasn’t a particularly big spike in the revenue but we did have a change in business mix. Our equity derivative business was particularly strong in the quarter as a result of particular transactions that didn’t particularly drive up the balances, and that’s what probably drove the higher yields.
Brian Klock – KBW : Okay, that’s helpful. Thank you.
Operator: Thank you. The next question is from Darko Mihelic of Cormark Securities. Please go ahead.
Darko Mihelic – Cormark Securities :
Operator: Thank you. I would now like to return the meeting over to Mr. Weiss.
Geoff Weiss: Thank you, Operator. That concludes our call. Please contact Investor Relations with any follow-up questions. On behalf of the team at CIBC I’d like to wish everyone a happy and safe holiday season and new year. Thanks very much and have a good day.